Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:10 [Starts Abruptly] and Mr. Jason Camp, President of Natuzzi Americas and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. 00:28 I would now like to turn the conference over to Piero. Please go ahead.
Piero Direnzo: 00:32 Thank you. Kevin. Good day to everyone. Thank you for joining the Natuzzi's third quarter and first nine months twenty twenty one financial results conference call. After a brief introduction, we will give room for a Q&A session. 00:47 Before proceeding, we would like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States securities laws. Obviously, actual results might differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. Please refer to our most recent Annual Report on Form 20-F filed with the SEC for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during this call. 01:34 And now, I would like to turn the call over to the company's Chief Executive Officer. Please, Antonio.
Antonio Achille: 01:43 Thank you so much Piero for your introduction. Good morning and good afternoon depending on the time zone to our analyst and investor and potential investor attending this call. I'm here today with beyond Piero other three people who are very relevant and will be involved in our conversation. The first person is clearly Pasquale Natuzzi which is our -- who is our chairman beyond being the founded and the live history of the company. I'm working very closely with him on any strategy and organizational matter, so I'll definitely evolving when the subject pop-ups. The other person is Jason Camp. I believe most of you already know him. He is an executive with twenty five years’ experience in the sector, who leads our North America and Central -- North America operation. And the third one, Vittorio Notarpietro, our CFO, longstanding CFO. 02:44 So let me open the conversation along to the press release which has been just released to say that on one end we are very pleased to see the growth for our product continue. That is not always been the case in the past, we're now on a positive trajectory with last few sequential quarter written orders are even stronger than invoiced sales. Invoiced sale were twenty percent above the third quarter twenty twenty and fifteen percent above the pre-pandemic level, so twenty nineteen. So the demand for our products continue to be strong across most geographies. And you should double click which was interesting is that, the branded product, so the products which are sold with our two brands Natuzzi Italia and Natuzzi Editions post very relevant growth rate. They are forty percent above twenty nineteen and currently they represents nearly ninety percent of what we do. 03:54 So the company which has been going to different phase of history, now is clearly focusing on brand, increasing focusing on having a direct access to consumer and this seems to be paying off in term of growth. When it comes to fulfilling that demand, we've been experimenting and of course, we are not been the only one, but today we should talk about Natuzzi, we are experimenting, especially in the third quarter difficulties to keep up with increasing demand. And this is again is a matter of availability of product, availability of workforce in our plant and availability of third-party producer to keep the demand, which has been, again, posting very positive momentum. 04:47 These basically bear two consequence, the spike in material has been really pressuring our P&L structure. I believe here the company has done a good work in mitigating that. In fact, if you see our gross margin has been actually increasing arriving at thirty six percent versus thirty two percent in twenty twenty and twenty eight point seven percent in twenty nineteen. So despite the strong price in cost of material, which often is been in the space of double-digit increase on our main material like leather, like wood. We've been able to contain, and actually the gross margin has been improving. And this has been systematically by optimizing our purchases, but also by reflecting some of those price increase in our retail and selling prices. 05:51 The other element in term of cost, which is not been so easy for us to fully reflect and pass over to clients has been shipping cost. Shipping cost given the global nature of our supply chain are relevant part of our cost structure. We've been to be -- to be a fair part to our partners Vittorio, I think you should mute. I guess there is some noise coming. Yeah. No worries. 06:29 So I was saying, we've been able to pass these in term of additional freight costs, but not always in a timely manner. And as a result of that we absorbed between Canada one-off cost, in some of these one-off freight cost additional five million euros dollars this quarter. So the net result could have been clearly including that negative impact could have been higher. 06:59 The second element, which is a consequence of the disruption of the supply chain is that, our backlog is increasing, which in a sense could be also positive, because you're going to start next year with already some meat in the freezer and this has been increasing by twenty million euros, arriving to one hundred and ten million euros, I'm talking euro here. So we have a significant backlog, which gave us a good kick for the next year. At the same time, we need to work carefully to make sure the level of service across geography remain consistent. So it is a bit what you can read in our number, so I would say, a good continuation of our trajectory to regain growth, regain quality growth. At the same time, this could have been even higher, if we manage the supply chain in a way to fully catch this growth momentum. 08:01 We are working very much not only to do this for the short term to kind of enhance the output of our supply chain, but also to sustain our mid-term goals, which clearly are very significant in term of top line growth. What are we doing? Basically, we are working on three main area. One is secure material availability. So we are working to pre-book some of the material, especially the one which have a longer cycle. We are also trying to near shoring, so get supplier closer to our factories for some material which have strategic relevance, but they don't bear a major implication in term of cost. So the first area is secure material availability. 08:52 The second area is increase factory output and later I would invite Pasquale to comment on that. As you know, one of our potential advantage is to have a very articulated supply chain, we have production in Italy, we have production in China, we have production in Romania. In each of those plant we are very carefully working to increase the output, each plan is history. In Romania we have added two lines, we hired sixty people. In Italy we are piloting a factory [indiscernible] which is a innovative way of producing, much integrator with the supplier to information systems. And in China we continue adjusting the capacity to the output. This is the long-term perspective. 09:45 In the short term, as I mentioned before, we are facing a series of complexity factor linked to the level of uncertainties which was higher than we predicted due to COVID. You must also remember that, in Italy our factory shut down for two weeks during August and this also affects the third quarter production capability. The third area where we are working on is increasing the strategic outsourcing. The company, as you must know if you've been following our story, has been always producing in-house everything, this will continue being the case for Natuzzi Italia, which we proudly produce in Italy, and for which the made in Italy is a dominant part of the value proposition. 10:37 For Natuzzi Edition, to recognize that we want to have a more [Technical Difficulty] supply chain model, we are building the production where it makes sense from a delivery standpoint. So we will have Romania and Europe for Europe, we will have our Shanghai and Vietnam for the Asia and for some part of our North America demand and we will build up Mexico for North America. This is something you will not see happening in one quarter, but it's something that progressively we believe will be delivering significant advantage to our ability to fulfill demand. 11:28 So this is a bit very transparent view on our quarter where we continue enjoying strong demand, which by the way, continue as we speak. So you see in the press release the data for the forty four week of the year where the written off that are up twenty four percent versus in twenty fifteen versus twenty nineteen. As we speak, we are entering week forty seven, the trend of written order keeps very, very robust. So we don't see any weakening in term of written orders demand. 12:08 I've been a hopefully [indiscernible] to be more specific in the Q&A, be very transparent of the hard work we are doing to evolve, modernize and enhance our supply chain and production. During these months we also did other intervention to solidify the fundamental of our business. One is the organization. We believe it however will be a people led transformation. So in close symphony with the chairman and our [indiscernible] responsible, we have been evolving our commercial organization. 12:49 In Clearance with what I said at the opening, the Natuzzi is almost entirely a brand company. We made the strategic decision to create two brand division. So now we have a Chief Brand Officer for Natuzzi Italia and a Chief Brand Officer for Natuzzi Edition, each of them is in charge for setting up the strategy and for controlling the P&L of his own brand. Clearly indirectly with the regional head like Jason and the other. So introducing a matrix where the region have the full autonomy and P&L accountability to grow the brand in the regions and the Chief Brand Officer setup the destiny and the strategy of those brand. 13:42 Beyond the organization, we'll continue working on increasing what I can call the access to the C, where the C is our final customer, the clients. So in that direction there have been a few enhancement in this quarter. The first one which I'm quite proud off is the launch on our new global digital platform. We had forty six individual platform representing Natuzzi in the different market. Starting from last Thursday we sunset all those platform and we introduce just one global new digital premise. This will represent a window for both Natuzzi Italia and Natuzzi Editions. They will be fully transactional toward twenty twenty two. We start from having e-commerce fully transactional in the US for Natuzzi Italia. So now the window in term of displaying the product is operational in all the geographies. The e-commerce is fully operational in US and we start recording the first sales during their Black Friday. 15:08 And digital will be, of course, one of the major priority for the development of the company. In the new organization digital will be reporting to me and I will be closely following this development. When I said I am particularly proud, that means I'm not proud for the end result, this will be continue evolving, it will be the result of an agile implementation approach. I'm proud, because when we -- four months ago we set up the plan date for the new launch, which was last Thursday, it sounds a bit challenging task. And I'm proud to report that our team has actively match the data, so gave me a sense -- a good sense of delivery on the task. 16:01 The other area where we are continuing expanding our access to the sea is North America retailer. Jason would be providing more color about that, but we are significantly higher, I would say, double-digit high depending you got sometimes almost triple digits high versus twenty nineteen and twenty twenty on our US and North America. And this again will be a very important area of priority for investment for me going forward. 16:39 Starting from these a press, we provide a bit more color on our JV in China, where we currently have more than three hundred stores with sixty new opening also this year. The brand is positioned in a very strong way with Natuzzi Italia being really positioned as a luxury brand and Natuzzi Edition being more an aspirational furniture brand. So the combination of digital in North America and China in my view are clear confirmation that we are a brand recognized by the consumer, the consumer is appreciating not only our brand, but the experience he can and she can receive of the brand in our retail. 17:26 And this is again in full transparency to provide you with a visibility on what could be my agenda as CEO, but also the agenda the company is working on. The other point we flesh out in this press release is a bit reflection on our trajectory. As you know, the company has been going to different phase, the phase we are in potentially started some ten years ago when Pasquale had his very visionary view of moving producer or manufacturer into our brand retailer. We are now accelerating the trajectory and looking at the last four years, I think it's encouraging to see some of those indicator confirming the viability of that strategy. 18:17 Let me flesh out few numbers, the revenue of the first nine months has been growing, as I mentioned, thirty six percent versus twenty twenty, interrupting a cycle of declining lasting for years and more. The branded sales on total sales are eighty six percent, in twenty eighteen were seventy six percent, so they are ten percentage point more. Gross profit percentage moved from twenty eight percent it twenty eighteen to thirty six percent, so eight percentage more. In absolute number, we were posting a loss of, let's say, seventy million euros in twenty eighteen, ninety million euros, sorry, seventy million euros in twenty eighteen, nine point five million euros loss in twenty nineteen and thirteen million euros loss in twenty twenty. We are now posting a profit of four million euros, operating profit. The retail, it was a new venture for the company even in US which has been always one of the strongest market. It was posting negative results till this year where we are posting a positive operating result of two point three million euros. 19:40 So the job in my view just started. There is a lot for us to do, but I want to share some indicator that in my view confirm that the direction is the right one. And of course, myself and my team are highly committed to confirm the trajectory. 19:59 Let me stop here. I might ask maybe Pasquale since you've been named a few times in my summary to comment with any common, let's say, color on our strategy, on the work we're doing together before opening to the Q&A.
Pasquale Natuzzi: 20:15 Antonio -- okay. Good morning and good afternoon everyone. Antonio, you have been the best analyst that I've met in my life. So you have been able to analyze the company, understand the strength of our company, the strategy. As you are the best communicate, I mean, I believe, I can just confirm what you said, that's it. Then I'm going to turn the floor to any question, obviously --
Antonio Achille: 20:56 Thank you. Pasquale. And again, we don't want to sound too nice each other before Christmas, but I can confirm that all the management and especially with the Chairman, we are really working in a close symphony on the strategic agenda, which I know it was a question coming from all of you guys. Okay. Maybe let's stop us here and let's open for question unless again Jason or Vittorio you feel you want to comment anything on what I just said.
Jason Camp: 21:32 Ready for questions team.
Vittorio Notarpietro: 21:35 Me too. Thank you.
Operator: 21:37 Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from George [indiscernible].
Antonio Achille: 22:03 I'm not sure I understood the name of gentlemen posing the question.
Operator: 22:07 They did drop off before I call their name, I do apologize. [Operator Instructions] Our first question is coming from David Kanen. Please go ahead.
Pasquale Natuzzi: 22:28 Davis, we don't hear you. Take off the mute.
Operator: 23:16 [Operator Instructions] One moment, please.
Pasquale Natuzzi: 23:50 Dave, you are muted on your computer.
Operator: 23:58 One moment please. Charles McDulin, your line is now live.
David Kanen: 24:25 Good morning. It's David Kanen working on Charles’ laptop. Can you guys hear me?
Operator: 24:31 Yes. Please go ahead.
David Kanen: 24:33 Okay. So, first question is, I see that backlog was up twenty one million dollars sequentially from Q2 to Q3. Can you approximate or quantify how much of that backlog is high margin branded product?
Pasquale Natuzzi: 25:00 [Multiple Speakers] the branded business is growing as said by Antonio before. So according to that, the backlog is -- also the quality of the backlog is improving.
Antonio Achille: 25:13 So my estimate David is that, roughly resemble -- I mean, if I look at the vintage of that the backlog is baked between second part of last year and this year. So during this period, the percentage of branded product has been from eighty percent to eighty five percent. So my assumption, which need to be verified, but I will be surprised if not the case, that percentage apply also to the vintage, to the backlog. So expect the backlog to be significantly represented by branded company, by branded product. 25:53 Okay. And for you to know, if I look at the area of our business where we experimented most difficulties in fulfilling quantity in third quarter was Italy for Natuzzi Italia. As I mentioned, I don't know if you follow that, but most European countries, and Italy was one of those, made a compulsory to have the green pass to reenter factory during August. So a good part of our workers were not ready to do so, and we experimented some twenty percent, twenty five percent of absentees. And Natuzzi Italia Chief reproduced – sorry, Italia Factory Chief reproduced Natuzzi Italia brand product, so on the new additional backlog, the twenty one million euro, I’m pretty sure the percentage of Natuzzi Italia product is significant.
David Kanen: 26:50 Okay. That makes sense. And then when I look at the quarter on the surface, it looks like revenues were down versus the second quarter, but then when I look at written orders, they actually accelerated from Q2 to Q3. And then the backlog had a huge jump by twenty one million euros. So, my question is, how much of -- how much revenue do you think was lost due to the two week shutdown for the factory during August? How much was -- I guess the two issues would be supply chain and then the two week holiday in Europe, how much of that was supply chain? How much of it was two week holiday?
Antonio Achille: 27:42 So before maybe passing to Vittorio, if you have -- if he has specific data on that specific question. I think you're pointing out something very relevant for the framing of the discussion. In the sense that pending -- the result of this two quarter can be a picture or can be a part of a movie. If you look at the picture, of course, we could have higher revenues, even those have been higher than both twenty twenty and twenty nineteen, because we could have be fulfilling additional quantity, order we already booked for this quarter. If you look at in a sequence, as a movie, it’s clear that trajectory is moving north in my view. I mean, the data speak clearly. 28:29 So, I mean, backlog in a sense are postponed revenue, so are not loss revenue. So all the order we received will be delivered. So that is a bit more high level answer. Vittorio, I know we did some of the analysis David is asking for. I don't know if you have the precise figure, what could been the revenue? Yes.
Vittorio Notarpietro: 28:57 It’s not much more precise, but for sure, David mentioned the twenty one million backlog increase. We didn’t have any plan to increase that backlog, we did had the intention to lower the backlog we had at the beginning of the year. So the sales -- delivered sales that we -- in nine months, if we compare the nine months that we have lost of that previous plan is higher than twenty one, at least it’s thirty million, if not more, because we had about one hundred and five million euro backlog by the beginning of this year. We had in mind to recover a portion of that by delivering more sales, by producing more sales during twenty twenty one, which was not supposed to be another pandemic year. And instead of lowering that one hundred and five million euro, we are one hundred and ten million euro. So it's more than between twenty million euro and thirty million euro at least the loss in terms of delivered.
David Kanen: 30:10 Okay. So, I mean, I'm going to look at it in a simplistic way. I'm not sure where you're completely understanding what I'm saying. We lost in the quarter at least fourteen production days from the shutdown in Europe for the holiday. If I look at your total revenue, and I just divide it by the number of days in the quarter, it's about twenty million dollars. However, to be fair, not all of your production is in Europe. So it's somewhere and my guess is, ten million dollars to twenty million dollars for the fourteen lost days of production, is there a way that you could quantify that for me or give me a little more detail?
Pasquale Natuzzi: 30:56 If I may. I'm mean, while we are a global company and while the pandemic is still there, is still in Brazil, is still in -- certainly in Vietnam. Is it still in Europe? As our CEO said, our -- now despite two weeks’ vacation, okay, but the absentees in the last three, four months has been – has reached in one of our biggest factory twenty five percent is just unbelievable. 31:39 That's -- So we had, I mean, problem based on pandemic in Romania in our factory. In Brazil, we had production reduction in Brazil. In Vietnam there was lockdown for long, long time. But then one of the main problem is the transportation. I mean, it's very difficult to find space on the vessel to ship the product, because – and the price is just unbelievable. Why we used to pay three thousand dollars from China to America or from Vietnam to America. Now, the shipping company they are asking fifteen thousand dollars, five times more expensive. So we cannot ship just easily because we should manage cost and the shipment. But also on -- because we import a lot of component from Asia, even the cost of transportation and the availability of the component and transportation from Asia to Brazil from Asia to Romania, from Asia to Italy is very complicated, seems to be in a war. If we don't get the component, we are not way capable to [indiscernible] the production. I mean, there are so many, many really problem that we are managing. Okay? And we are -- I must say, we are managing very well I mean. So that's my personal feeling.
Antonio Achille: 33:26 If I can [Multiple Speakers] a little bit. If we have to qualify the shortage in delivery and sales we had problems everywhere for the reasons explained, but the first one has been in Vietnam where lockdown has being concluded by the end of October. So most of that shortage comes from our Vietnam sub-contractor.
Pasquale Natuzzi: 33:51 And we have a finished product, I mean, in the warehouse that we cannot ship because there are no space on the vessel available. So production is there, as soon as we find space on the vessel and visually price, we will ship and invoice and the consequently we'll help the total revenue.
David Kanen: 34:16 Okay. Let me move on to my next question. Do you see that -- do you see starting in Q4 you guys working down backlog and revenues increasing, assuming written orders remain at the same robust pace? Are you going start working down that backlog and delivering product output at a faster pace in Q4 and in twenty twenty two?
Antonio Achille: 34:51 So, let me answer. First of all, we have a luxury problem in a sense that we are trying to empty the backlog, but demand is always accelerating. So first, it is important to put in that frame, of course, there is a problem, but it's better to be in the situation that having empty plant and no demand. So our demand third quarter for -- fourth quarter for what are we seeing, there's no sign of weakness rather the opposite. 35:20 So first, we are not like other companies in the market saying, we are working down the backlog because we are kind of cooling down demand. Our demand keeps to be very odd. Second point, in term of capacity, but also marginality will work so that given our business cycle the action we put in the beginning of quarter one – sorry, at the beginning quarter three will be fully impacting in quarter four, both in terms of marginality and in terms of some of the production announcement. 35:59 Then the broader transformation I mentioned before, so opening up Mexico, increasing our productivity in Italy with the four point zero production, bringing additional capacity in Romania, those are typically action which have impacted for the mid longer term. It’s something we don't tactically from one quarter, we do because our, let's say, mid-term objective at twenty twenty six forecast a major growth across our brands. So some of the, let's say, more tactical action definitely has been designed to have impact in Q4. So hopefully we will see better situation in term of our output capacity and definitely in term of marginality announcement. The other direction I mentioned are more to announce our operational machine for -- to sustain in the long-term objective growth.
David Kanen: 37:02 Okay. And then, in terms of the strategy for growth in North America that you've articulated previously to open approximately ten stores per year for branded product, which will positively affect overall margin. Do you believe that with the changes and plans you put into effect in Q3 that you'll be able to meet that additional demand with output.
Antonio Achille: 37:34 37:34 Jason, do you want me to comment, or I should comment?
Jason Camp: 37:37 Yes, I [Multiple Speakers]
Pasquale Natuzzi: 37:39 It sounds like a supply chain question more than a retail question.
Antonio Achille: 37:45 So two point to your question. Absolutely North America is a top priority. I feel, one of my, let's say, mission of my job, I don't have a complex job in a sense, but one of my key mission is to allocate investment and prioritize investment, and North America is -- retail in North America are both highly priority and across each other. So when you talk about retail in North America, it's top priority, especially for Natuzzi Italia. So we plan to accelerate that. When it comes to timing for executing, it's less a supply chain issue constrain, it's more the fact of identifying the proper location. We are very, let's say, anxious to deliver on the new opening, at the same time we are very careful because opening a new store is a multi-year commitment, even those, of course, we don't buy but we rent. So we want to find perfect location, which fit the target consumer we want which present good economic condition. 38:50 I've been already twice to New York to look at location for a potential additional store in New York. So it's something just to tell you how relevant is the decision which I got myself with Jason to visit the store. Look at the economics, looking at the catchment area. So we definitely want to keep the target and we will do. At the same time we want each opening to be successful and we're very careful examining new locations. And this, I mentioned in New York, but they've had been in Texas, again, with Jason looking at potential location. So we defined a process where a new location would be consider is a major decision for the company, not just because of its size, but because it's a very important decision and we want to be all of us involved in taking the decision.
David Kanen: 39:43 Okay. But -- and my question is, with the changes that you've put into effect, each -- let's say, each store contributes approximately another four million euros in revenue. Can you meet that demand right now?
Antonio Achille: 40:00 Yes. I mean, for – again, when I talk about –
Pasquale Natuzzi: 40:03 I mean certainly we have a production capacity. I mean we have -- especially in Italy, we have production, we have a factory, we have people, we have a production capacity. The issue, again, has been transportation, material shortage and the high absenteeism in the last three, four months. So -- and likely the pandemic is still there, I mean, they didn't disappear. But again, yes, if we open the start we have a production capacity, we have when skilled people here in Italy, we have a factory, we have everything ready to go.
David Kanen: 40:47 Okay. And my last question –
Pasquale Natuzzi: 40:50 That's what's your question. Right?
David Kanen: 40:53 Yes. In general, can you meet that capacity?
Antonio Achille: 40:57 I confirm that. When I said there is a -- we're not going to be slow -- slowing anything because of production, if anything is because we don't find the perfect location, but production is not an issue for our stores.
David Kanen: 41:12 Okay. And then just last question and then I'll turn it over to any of the other callers. I don't want to monopolize. But you're KUKA JV from your original monetization of that where you sold a little over fifty percent for sixty five million euros, it's grown considerably. Could you give us an update on that. Is there -- as a shareholder, I would love to see monetize that and help unlock the value for Natuzzi shareholders. Can you give us an update on how it's doing? And if you're open to exploring alternatives or if you've already engaged?
Antonio Achille: 41:58 We are open, we are engage. Tomorrow we have a board with our colleagues of the JV. Where some of the point for discussion are really about how collectively extract the maximum value for that. The company, the JV continue to be on a positive trajectory, both in terms of growth and in term of cash accumulation in the JV. And in term of profit, which has been distributed to us. I pass it over to Vittorio to share the progression of that profit, but the short answer to your question is, we are absolutely -- is absolutely in our agenda. And we are engaged, actively engaged. So we're not just considering, we are actually engaged with our partner, of course, we sit in a board, so it is a matter of discussing considering alternative and taking common choices. But we have actively engaged the partner on the topic.
David Kanen: 42:53 Thank you.
Antonio Achille: 42:54 Vittorio may be you want to share some number of the progressive -- progression of the profit, which has been distributed by --
Vittorio Notarpietro: 43:05 Let me have a longer perspective of that, when we started by the year end twenty eighteen. They had the full-year revenues up about twenty seven million euros, by the end of twenty twenty one they will triple their sales. When they started in twenty eighteen the JV had a single-digit EBIT, now they are in the area of twelve percent EBIT and EBITDA is around thirteen percent. When -- in one August twenty eighteen they started with twenty five million euros cash and as of September they have already doubled their available cash. So the company is well managed, it is growing, it is improving margins and cash. 44:07 Antonio has already said about the cooperation with them and maybe in the future this part will be analyzed by the JV board in terms of new developments. Now, the discussion is about the better use of the available cash and may be Antonio will discuss about the DOS development over the next three years with the Board of Directors of KUKA. But the company is running very well.
David Kanen: 44:42 Thank you.
Vittorio Notarpietro: 44:46 You are welcome.
Operator: 44:47 Thank you. Our next question today is coming from George [indiscernible] from Emkay. Your line is now live.
Unidentified Analyst: 44:55 Good afternoon. Thank you for taking my question. Two quick question. One of them is, can you give us your progress on the Mexico plant and you're plan to go to help production there? And then the other one is for Jason, just an update on revenues and store developments in the third quarter? Thank you.
Antonio Achille: 45:21 So, let me take the one on Mexico. And again, maybe Pasquale can provide more color. So first, when we talk about Mexico, it's primarily Natuzzi Edition North America. Okay? Just to qualify what we're talking about. There are two alternate -- two option we are going to be implementing in parallel. One is a producer, which is a very established company, which is a listed company. We will produce specific number of products which are today making what we call quick program. So quick program is that are made to stock, which are products that the consumers in our stores, and if they buy are immediately delivered to them. So we identify the subset of those model to be produced. We have been costing them, we've been looking all the aspect. And I believe that can be from beginning of twenty twenty two. And this is for Made to Order program, this will be having the benefit of fast delivery and reducing our working capital in the US, and particularly, sensitive on anything which is related to capital absorption of the company. So the program -- our quick program is very successful commercially and it requires some selective working capital inventory in North America. This production in Mexico will lowering this requirement of working capital to fulfill the quick program. 46:58 The second partnership we are exploring is a production JV similar to what we have been successfully implementing in Vietnam, where with, let's say, an established North American manufacturer which has operation in Mexico, we were going to be ramping up capacity for our special order production. Special order means that the customer for Natuzzi Italia can order any combination -- apologies, Natuzzi Edition absolute. Natuzzi Edition. Thank you for correcting me Pasquale. For Natuzzi Edition can order any product in any configuration. And this is special order, this of course being a JV, being, I wouldn't call it a greenfield, but almost a greenfield operation we required more time, but we are targeting again to start production in twenty twenty two. 47:51 Thank you Pasquale for correcting me, because, again, it give me the opportunists to reinforce the fact that for the brand positioning of Natuzzi Italia all production will stay always in Italy, at least for what is upholstery concerned. Then for accessory there may be some tactical adjustment, but for upholstery would always be in Italy. We are taken this very seriously in the sense that our Director of operation for [indiscernible] Milano is now entirely focusing on Mexico, working very closely also with Jason because of course is of interest of the North American market, but he is entirely focused on that to the point that to letting [indiscernible] Milano focusing on that opportunity. We are trying to understand how to reinforce his current position of Director -- Director of operation, but he will be in charge primarily in almost solely of this opportunity to elevate our execution capability. 48:58 I don't know, Pasquale, if you -- I know you're followed even before I joined the discussion on Mexico. I don't know if you want to comment anything here.
Pasquale Natuzzi: 49:07 Okay. So for last two weeks we had -- [indiscernible] is our -- one of our top manager with another two managers, they spend two weeks’ time in Mexico. In Mexico, the cost of material is two times more expensive than in China, because, let's make it clear, we are going to make -- so far we manufacture Natuzzi Edition for the North American market in China. But because -- but our strategy is to move the production in Mexico, because we downsized the factory in China in order to meet the demand from domestic market for the next five years and for the rest of Asia. While we believe that we need to manufacture for North America the brand of Natuzzi Edition in Mexico. The cost of material in Mexico so far is a much, much, much more higher than in China. The result we got so far in the last two weeks is that the cost of final product in Mexico is the same as in China, including the duty that we pay, which impact about twelve percent, thirteen percent. 51:00 So in other words, but we have also today -- the transportation cost is just unbelievable, very, very, very, very high. Certainly, let's say that on total cost today Mexico seems to be convenient. We should have a meeting in the next few days with our management to finalize and understand that if really is convenient and when we should move forward with our production to meet the special order business. While as Antonio said, our CEO, we believe that we should start the production of five top seller model that we warehouse in America for immediately delivery. I mean, Mexico is still in the process. But it seems that all the Americans are trying to move to Mexico from China, because the transportation cost is just prohibited. And probably the feeling between Americans and China is not the best one, it is just matter of feeling certainly.
Unidentified Analyst: 52:24 Maybe just to summarize that, so the made to stock is definitely happening, and that should be roughly around the beginning of twenty twenty two. And the special orders you are working hard on that, trying to see whether to start the process. Within two, three weeks we should have really much, much clear idea how to do it and what to do it.
Antonio Achille: 52:56 On the special order, on the made to stock your summary is very correct. We are launching it in twenty twenty two.
Unidentified Analyst: 53:10 The other question was for Jason about –
Antonio Achille: 53:13 Yes, in fact the other question, I think Jason you should take the one on retail – US retail.
Jason Camp: 53:21 You bet. Thank you. Listen, we're -- the results we're seeing in Q3 and now that we're almost two full months into Q4 continue to be encouraging. We've been already saying that our best stores are performing added around four million dollars, which we're continuing to see. And that our network average is closer to three million dollars. I think it's also relevant to share that, as we have been watching some US retailers report written order results in the fall. Some of those retailers are having a hard time comping against their twenty twenty orders. And we're very pleased on the retail side to confirm that our results in Q3 and into Q4 are at a double-digit increase over what we saw in twenty twenty in Q3 and Q4. So we're quite pleased to feel that continued momentum. I hope that answers your question, George.
Unidentified Analyst: 54:46 Yes. It does. Thank you.
Operator: 54:54 Thank you. Our next question today is coming from [Paul Travis] (ph), a Private Investor. Your line is now live. Please unmute your phone. Paul Travis, your line is now live. Perhaps your phone is on mute, please unmute your phone line. The next questioner, your line is now live, please proceed.
Robert Marcin: 55:32 Hello, gentlemen. Robert Marcin from Penn Capital. Congratulations on navigating a very difficult period COVID and this explosive recovery. I'm looking at a lot of talent on the screen right now. And yet, I'm looking at a great product with a phenomenal brand name. And yet the only thing that's consistent has been the lack of profitability at the business, it's been good times or bad, high rates or low rates, good economy or bad, the company has been consistently unprofitable. So we hope things are going to change and could you potentially give us a set of revenue and margin targets for the intermediate term that management would be held accountable for and that shareholders can use as a benchmark to set a price target on the business, should these be achieved? Thank you.
Antonio Achille: 56:39 Thank you very much for the positive notes on our business, which I very appreciate. I completely understand and super tight with your question. I mean the marginality is really our focus. In transparency, the company has many producer as more an attitude to focus on growth and top line rather than margin and capital with recession, we have been now having a full set of KPI supported by SAP, which allow us to track for any micro sale of our business the EBIT produced and going forward also the cash flow produced for every micro sales, that is just part of the story. There's also a bit cultural change because, again, all the company -- you will see something right, which I appreciate because it was very straight in any time the company did not grit margin, I mean last ten, fifteen years, but also need to be recognized that also growth was not there. So I think the company secure growth hopefully in a substantial way, we have seeing double-digit growth for whatever you cut to the business. 57:54 I think now different it's time for margin and it is going to be -- a top priority for us is what to really look at in reading the business is really what's going to drive our decision of investment, it's going to -- what is going to be drive our decision of MBO and promotion of people, our implication for my compensation. So this is really central. I understand your question. I must dilute you in the sense we don't provide guidance, we have internal target breakdown by geography, by line of business, but we don't provide this external targets, not because we don't want to help investors, but I think because we are -- there are so many parts moving that we're going to be -- we want to be cautious in the way we create expectation around our company, we want to deliver first and then meet expectation. 58:51 So I can assure, it is very central. I'm sorry to disappoint you, because we don't provide guidance on where the margin or the EBIT or the cash flow will be in one year or one year and a half, that certainly we don't do.
Pasquale Natuzzi: 59:02 I have something else – I have something -- I'm Pasquale, I have something else to say also Antonio that it's true that in the last three years the company has been negatively performing, but please understand that fifteen years ago Natuzzi was an Italian manufacturer company, an Italian leather upholstery manufacturing company. Today Natuzzi is a lifestyle brand. And to create a lifestyle brand required just investment, investment and investment. And then to create a retail model that should be profitable, again, it require investment, investment, investment. So today -- I mean, so that's the way we should interpret the result -- the balance sheet over the last ten, fifteen years. So I mean, we have done huge investment. Today we are a lifestyle brands, the wholesale business represents fifteen percent, eighty five percent is branded where we make better margin, and now, we have also good management to manage the retailer and the brand around the world. So that's something to be considered.
Robert Marcin: 60:35 60:35 Thank you very much. I will interject Antonio that one quarter or one-year outlook is guidance and many companies do not provide short-term guidance because of the moving parts, but they do on their website for the presentation with financial intermediate or longer-term financial targets. [Multiple Speakers] that are two very different things, sir.
Antonio Achille: 60:59 60:59 I think it is a very fair comment. I appreciate you making that. I think here you have a combination of us being on movement internally and outside being on movement. But again, I appreciate your question, we would reflective of the one point we are going to feel this is something we will do to give more sense of confidence to potential investors, and I always been --
Antonio Achille: 61:21 When the business is up and running well and humming, I think it would be who've the Board and management to put something like that out.
Robert Marcin: 61:31 Thank you. We heard you. Thank you so much.
Antonio Achille: 61:40 Is there any other question?
Operator: 61:48 Thank you. Our next question is coming from [Kyle Travelers] (ph). Travelers, your line is now live, please proceed. Mr. Travers, your line is now live. Please unmute on your end and please direct your question at this time. Travelers, once again please unmute your phone line, you are unmuted on my end. Moving on to the next questioner. Your line is now live. Next questioner, your line is now live. Our next question was [indiscernible]. [Greg Cohen] (ph) with [indiscernible]. Your line is now live.
Unidentified Analyst: 62:41 Hey, guys. Can you hear me?
Antonio Achille: 62:45 Yes.
Unidentified Analyst: 62:46 Hi. My question is around e-commerce. It looks like it was recently launched. Can you guys give some color on how large that opportunity can be? And what if anything we're doing to promote it? Thank you.
Antonio Achille: 63:09 Thank you for your question. I might take these and of course, but I will say Jason [indiscernible] side is very welcome to provide color. So now let's turn [indiscernible] regulate on few stores to sell big can be the opportunity. If you look at other players in, let's say, the furniture and accessories, they do a significant part of business online. So if you take just [indiscernible] percentage are significant. I mean, I think you have the data, but we're talking about forty percent, fifty percent, sixty percent. Of course I think Kuda accessory, when you look at more just furniture is still is very significant maybe twenty, thirty. Those are player, which are focused on geography where digital and e-commerce are predominant or very well accepted like North America and Anglo-Saxon market. So I think it will be on the high end of what we can give us as a target, but this just to say that for us is a significant opportunity. 64:32 We are doing till last Thursday, we were doing zero, we recorded some sales already this weekend. So it's all an upside. On an upside also because you may view it will allow us to tap into new segment of customers also with partially a different demographic. Then the way in which we are doing it is to be channel neutrals. That means that we are setting incentive system for the customer and for our team not to make once channel prevailing on the others. So it will be always an environment where the customer can buy either online or social line in Dubai in our store without any barrier, but we believe this can be one of our major upside opportunity together with retail. 65:02 In term of driving traffic, as you know, you need to beyond the organic growth, which I think we're going to be benefiting a lot because our brand is very, very popular across geography. Beyond organic growth we want to boost traffic by working with the usual suspect in terms of buying traffic. There one source of financing for me, it will come also from the sector practice of doing sales and discounts across the year. I think we should be progressively understanding how to move some part of what a core investment in that area, so doing discount, which is double-digit for the sector to move it to acquiring traffic digitally and that will be a significant buffer which is not going to be nothing radical, but progressively we're going to be exploring how to move part of that budget to acquiring traffic digitally.
Operator: 66:14 Thank you. Ladies and gentlemen, that does conclude today's question-and-answer session. And that does conclude today's webinar. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.